Operator: Good afternoon, ladies and gentlemen, and welcome to the Sylvania Platinum Limited Investor presentation. [Operator Instructions] The company may not be in a position to answer every question it receives during the meeting itself. After the company can review all questions submitted today and will publish responses where it's appropriate to do so on the Investor Meet Company platform. Before we begin, we would just like to submit the following poll. And if you give that your kind attention, I'm sure the company would be most grateful. And I would now like to hand you over to the executive management team from Sylvania Platinum Limited. Jaco, good afternoon, sir.
Johannes Prinsloo: Good afternoon, Jake, and thank you everyone for joining us for this presentation. And myself and our CFO, Lewanne Carminati, will be taking you through the presentation to discuss the highlights of this past financial year and also hopefully to answer some questions at the end of the presentation. I think maybe just as an introduction for anybody who's maybe new to the company and a bit of background. Sylvania is a low-risk cash generative dividend paying mid-tier platinum mining company that has been in operation for just over 17 years now. And at the heart of our business are the Sylvania Dump Operations, where we operate currently 6 chrome and PGM beneficiation plants on the Igneous Bushveld Complex in South Africa where we treat a combination of both historic and current chrome tailing sources as well as ROM chrome ore from our host mine partners. So while our 6, first 6 SDO operations, we're only generating a stable PGM revenue stream, our exciting new Thaba joint venture, which has just been commissioned during the past quarter. Now we'll also introduce an attractive diversified chrome revenue stream to our business. And I will touch a bit more detail -- in a bit more detail on this later in the presentation. While we also own some greenfield's PGM exploration assets that could offer some future growth optionality, the operational and financial performance that we will be discussing today relates purely to the production and revenue generated from the aforementioned Sylvania Dump Operations. If I just look to the results for the past financial year. I am very happy with a remarkable overall performance for the period under review. After revising our PGM production target twice during the past financial year, our Sylvania Dump Operations managed to deliver a new record PGM performance of 81,002 4E PGM ounces in 2025. That was higher than our ultimate guidance and also 11% improvement on the previous financial year. From a financial perspective, we saw a very encouraging improvement in the 4E PGM basket price, especially during the past 4 to 6 months, bringing the average basket price for the year to about $1,507 per ounce, which is an increase of nearly 13% year-on-year. And then if you combine this higher PGM basket price of the higher PGM production, it enabled us to post a net revenue of $104 million for the year, a 28% improvement on the previous year. Together with group cash costs that are well controlled and a good revenue performance, we were also fortunate then to post a 117% higher EBITDA for the year of $29.3 million for the year. Now once we take this very robust financial performance into account, our still attractive and positive cash balance that we have and considering it in line with our dividend policy, I'm very pleased that the Board has approved a final cash dividend of 2p per ordinary share, that's been declared and to be paid during December, which results in a total dividend for the year of about 2.75p if you want to consider also the interim dividend of 0.75p that we paid in February or declared in February this year. And comparing to the previous financial year, if we exclude the special dividend, we paid with regards to the process from Grasvally, this '25 finance total dividend is higher than the '24 financial year, and also materially higher than the minimum required under our dividend policy. So overall, a very good production and financial performance that we are proud of. Besides looking after our shareholders and retaining value, we also have a significant focus on the well-being of our employees and also in terms of the communities where we operate. And to that end, I am also very proud of our performance during the past year, where the company achieved the best overall safety performance in the history for 2025 in terms of the overall amount of injuries. And it also includes some significant milestones like the Doornbosch operation that achieved 13 years lost time injury free during the period as well as our entire Eastern Operation complex that achieved 1-year total injury free. So not even the medical treatment case during the period. If we just for a moment, look at the operational performance per se and what was driving the record PGM production performance, you will see that the primary driver during the past financial year was primarily our 18% improvement in PGM feed grades. And in particular there, what contributed was higher feed sources from our host mines, such as our Tweefontein and Mooinooi operations. The continuous treatment of higher-grade third-party material feed source and treated our Eastern Operations, as well as the new higher grade current arisings feed source we have -- that has been introduced at Lesedi since about October last year, and that all contributed to the higher PGM grades. For the period, our PGM feed tons was marginally down, some of it impacted by the abnormal heavy rains on this Western Bushveld at the beginning of the year as well as the intervention we had at the city to get it ready for the third party -- for the new current arisings material. From a growth point of view, I'm excited that our new Thaba Joint Venture operation is now commissioned, and we look forward to starting -- for it to start contributing, both in terms of PGMs, but also in terms of chrome revenues during 2026, which will ultimately assist to take our overall attributable production to between 83,000 and 86,000 ounces 4E in '26 and '27 when steady state is reached. But I will deal a bit more later in the presentation on Thaba specifically. In terms of our focus areas, obviously, our primary focus for this next year is to ramp up and optimize the Thaba operation now post commissioning. But at the same time, we also continue to ensure that the existing Sylvania Dump Operations are looked after and further optimized where possible. So -- and just maybe some of the most significant of these are the Lesedi optimization as the host mine run of mine feed at current arisings continue to ramp up during the -- which we expect during the second quarter of this financial year. And also then various other technical initiatives that is aimed at improving PGM concentrate quality and process efficiencies for both PGM and chrome recovery. So I'm going to hand over to Lewanne now to just take us through some of the financial highlights, and then I will talk some more on the market outlook and the -- our growth projects.
Lewanne Carminati: Thanks, Jaco. So this year has been quite a successful year for the company, both operationally and financially. And the improvement in the basket price, although only in the latter part of the financial year had a significant impact on the profitability of the company and highlights once again just how sensitive the industry is to the PGM basket price. Sylvania had the benefit of the record production as well as the price improvements, which has translated into year-end financial results, which have exceeded our initial estimates. Our net revenue of $104 million is 28% higher than the prior year, and our costs are up 14%. Royalty tax reduced as a result of the additional CapEx allowances, reducing the percentage payable. The other expenses reduced 35% year-on-year. This cost is mainly general and admin costs at a corporate level, and the reduction from the prior year is as a result of the interest that was written off in 2024 on the settlement of the Grasvally transaction. Our corporate income tax is charged at 27% on taxable profits, which generated in South Africa. And the tax expense line also includes the movement in deferred tax and any dividend withholding taxes incurred on dividends which are declared from the operational entities in South Africa up to the parent, Sylvania Platinum. Full year, our earnings per share was $0.0773 against $0.226 in the prior year. If we look at our revenue in a little more detail, you'll see that the improvement in the metal price contributed 16% to our revenue and the higher production, an additional 12% to our revenue for the financial year. The 6E revenue split has remained fairly consistent with a slight shift between the palladium and rhodium contributions of about 2% and our EBITDA for 2025 more than doubled from the prior year and exceeded our previous estimates at half year. The major contributors, again, being the increase in the metal prices and the increased production. Looking forward to the new financial year, the EBITDA is forecast to increase quite significantly based on the latest consensus pricing, the slightly higher PGM ounces that we're forecasting as well as the introduction of chrome revenue. Moving on to the operational costs. Our current tailings retreatment operations incurred a cash cost of $759 per PGM ounce. Although the total operating costs were higher than the prior year, the cost per ounce remained in line with 2024 due to the higher ounces. Costs for the current year included a full year of third-party material. This was initially only planned up until June 2025. But this contract was extended in March with new pricing terms, and therefore, the slightly increased operational costs will continue into 2026. Although this does impact costs, the additional material does extend the life of the operations, and the higher-grade material increases ounce production. The other significant contributors to operational costs include labor being our largest cost, followed by the power and consumables. Our all-in sustaining costs reduced by 3% on the prior year, but the all-in cost for 2025 increased 14%. This was, however, in line with our capital spend for the year on tailing dams and the Thaba JV. The 2026 tailings dams' capital will result in the all-in cost remaining at around the $1,300 level, but then it will taper off to approximately $1,000 to $1,100 from 2027. As you'll see, the company has maintained a strong balance sheet with a net asset value of [ $244 million ] and a cash balance of $60 million at 30 June. During the year, the operations generated cash flows after tax of just under $20 million. The total tax paid out was $2.9 million, but we also received a refund from the prior year of $1.56 million. So the net effect of tax outflows was $2.3 million. Dividends actually paid out to shareholders in the financial year totaled $5.8 million. This was the final dividend from 2024 as well as the interim for 2025. In addition to the dividends paid, the company also spent $1 million on share buybacks. Our capital cash outflow for the year totaled $31 million. And this includes $16.6 million attributable spend on the Thaba JV, $7 million on tailings stands and $6 million on business improvement and strategic projects, which includes the filtration Plant as well as the collision avoidance system. The capital forecast for 2026 is at similar levels to the past financial year, around $32 million, with the largest spend being that on tailings dams of approximately $21 million. And then this tapers down to just under $10 million from 2027 when all the required tailings dams have been completed. Returning value to our shareholders through maintaining a sustainable business while also paying dividends and buying back shares is a priority for the Board. And as Jaco mentioned, a 2p final dividend for the year was declared, bringing our annual dividend to 2.75p. Including this final dividend, the company has returned $117 million to shareholders since 2018. And we've also bought back 65 million shares since 2015, of which 26 million have been canceled. The company's capital allocation framework provides a balance for allocating capital to sustain our operations, drive long-term growth and consistently return value to our shareholders. Now I hand back to Jaco for the company and market outlooks.
Johannes Prinsloo: Thank you, Lewanne. And I think yes, now that we have discussed an overview of the past periods performance and also hopefully demonstrated how we are adding significant return and value to our shareholders. It's important also how we consider, how we aim to continue growing the business, so that we can sustain attractive returns also into the future. So from a growth perspective, we basically have 2 ways of approaching growth in terms of our strategy. Firstly, we continuously look at how we can unlock further potential and value from our existing suite of assets, and these include our current dump operations as well as our various own exploration assets. And I think we've done that very successfully over the years. So growing our production profile from about 10,000 ounces in the initial stages to more than 80,000 ounces achieved this year. And then secondly, we are looking to create value from external growth opportunities where we can replicate our proven operating model and leverage our successful track record and expertise. And 1 such opportunity is the Thaba Joint Venture operation that we have embarked on in collaboration with our partners at Limberg Chrome Mine. So just before giving you an update on the current project progress, let me maybe briefly give you a little update or recap of what the project is about. The Thaba JV project represents significant and exciting diversification for the company in terms of our product portfolio in the sense that it now adds significant chromite concentrate revenue to the business, whereas our current Sylvania Dump Operations only generate PGM revenue stream. And it further combines the proven expertise in PGM recovery of Sylvania with our JV partners' extensive experience in chrome operations. And that assist us to leverage strength of both companies to the maximum benefit of the JV. So from an attributable point of view, the Thaba JV will increase Sylvania's existing 4E PGM production profile by about 9% at steady state and also introduced about 210,000 tons of attributable chrome revenue to Sylvania, so chrome product and there's an attractive revenue stream once that's steady state. And I think the total revenue for the project at steady state is about $33 million a year, of which about 75% originates from the chrome production and about 25% from our PGM sales based on the current pricing assumptions. Based on the current PGM and chrome price assumptions, this will also equate to around $18 million to $20 million of attributable EBITDA for the group. I think it's maybe just important to note here because this is the mining operations. Our waste stripping costs on the mining is capitalized, and therefore, we've included the all-in sustaining cost graph at the bottom. So there's about $67 million of sustaining capital that will go towards stripping to be taken exploration in terms of the EBITDA. But overall, a very attractive project still with gross profit margin of 35% to 40% depending on metal prices. And as we said, within a 3- to 4-year simple payback on the operation. If we look at the -- in terms of project execution and operational readiness, I'm very pleased that the plant construction and commissioning phases are now complete and that we're currently in the operational ramp-up phase. Unfortunately, like many projects of this nature and complexity, we also had some challenges. One obvious include the impact of abnormally higher rainfall over the months of November to -- November '24 to January '25 that's affected the critical path of the project can ultimately cause some delays during the final construction phases. We also had a safety-related incident here in June with electrical injury that resulted in suspension of electrical work impacted on the final commissioning phase of the project. And ultimately, also during recent months as we were ramping up the production towards full capacity throughput, there were some challenges emerging on our interim power supply agreement -- arrangement while our new primary Eskom substation is still under construction, and that resulted in us adjusting our ramp-up schedule slightly. So we did, however, put some mitigation measures in place with additional generators brought on site, which we've commissioned over the past weekend in order to reduce our reliance on the current old rural Eskom power supply line and improved our power stability so that we can ramp up the project. And then we also look forward to the completion of the primary -- new primary supply facility towards the end of October. So we now expect the operation to reach steady state during the third quarter of 2026. However, despite the revised ramp-up plan, as I mentioned earlier, the project investment fundamentals remained robust. There's still a very attractive project that is on track to become a significant revenue contributor for the company asset reach full operational capacity. These are just some pictures from the operation for information. I think at the top left shows a nice view of the chrome primary ROM and secondary fine chrome spiral plants. The bottom left is our primary and secondary mills, also some flotation cells and our [ flotation ] stages. So overall, certainly a very impressive and a world-class project that we have constructed. If we look at growth beyond Thaba, we're also currently busy investigating a number of alternative opportunities with the aim of either increasing the existing PGM ounce profile or to add alternative revenue streams like chrome in like we've done for the Thaba JV or alternatively exploring how to extend life of existing operations. So while this slide do include Thaba and also Lesedi current arisings and the third-party source material I already mentioned, I'm just maybe focusing on 1 or 2 initiatives not mentioned earlier, one being our new Eastern Limb treatment facility that is currently under investigation. We have initiated a pre-feasibility study during the past financial year to determine if we should focus on either just a dump only or a dump and run of mine materials, similar like the Thaba JV and when and how to progress with the feasibility study and execution. And we expect to have an outcome of the pre-feasibility study towards the end of this financial year. And then finally, we continue with ongoing technical and commercial due diligences on various complementary projects and opportunities, and we specifically look at those opportunities and projects that aligned with our current skills and expertise and especially where there is a coproduction potential like Thaba with the chrome and PGMs. And we're quite confident that we will continue to grow the company's production profile going forward. If we look at the -- just a bit on the market overview and what has happened on PGMs during the past year and especially recent months. I think it's worth standing still for a moment, just considering the industry PGM cost curve. The latest one is compiled by Nedbank Corporate Investment Banking. And I think when we compare this to the same cost curve of about 6 months ago, we can see that there's been so much needed relief for PGM producers. 6 months ago, nearly half the industry or something -- sometimes even more of the producers were loss-making from a cash cost plus capital point of view. And with the recent improvement in PGM prices only about 20% of the industry seems to be loss-making at the current PGM basket prices. Certainly, a significant improvement and creating a bit of breathing space for PGM producers. I think also noteworthy from this graph is that Sylvania is still very nicely positioned in the bottom quartile of the PGM cost curve. And what that means for us is that when prices are subdued or tough, like it's been for 2 years, Sylvania is able to still generate attractive cash in a down cycle to fund both our growth aspirations and return value to our shareholders. And when we have a positive price environment, it enables us to capitalize further on this and generate additional cash either for distribution to our shareholders or to reinvest in growth of the company. Before I maybe just move on to the supply and demand fundamentals. Just on the left of this slide is reminding you about Sylvania's PGM basket composition or the prill split. And we -- about -- in our prill split, specifically Sylvania, we have about 12% rhodium and 65% platinum and this makes up more than, say, more than 74% of our total 6E revenue while palladium at 23% is also still significant. And I think especially what we're starting to see as there has been significant price movements is that the miner by products like iridium and ruthenium is becoming more significant and added about 14% of our 6E revenue during the past year. Looking at the various -- at the PGM market per se, from a demand perspective, Auto Catalysts still is one of the biggest drivers of demand and the most significant aspects for us to consider, especially from palladium and rhodium, that's primarily Auto Catalysts consumption. But also, we've seen some interesting movements either platinum over the years. While the growth -- the estimate sales for 2025 is the outlook is about 91 million to 92 million units, it's slightly down from the beginning of the year before some of the tariff rates from the U.S. The outlook was probably close to 94 million vehicles, but still a good improvement on recent years. And combining that with the fact that plug-in hybrid electric vehicles and range extended vehicles, growth rate is outpacing that of the pure battery electric vehicles means so there's still a good demand for Auto Catalysts. So overall, we remain confident of that. And I think finally, also, there's been some increase in the loadings per vehicle in China following a long period where they lagged international peers. So certainly, the Auto Cats some interesting developments. From other demands in the industry, platinum in particular, is -- has seen quite an interesting demand increase in jewelry, and that comes -- especially when gold jewelry and the current gold price, the price parity between gold and PGMs is such that consumers are now buying a lot more platinum jewelry. Platinum, obviously, also has very good applications and future in terms of the energy transition and hydrogen economy and then also in the glass-making industry. So strong fundamentals for platinum. I think rhodium, maybe noteworthy is and we've seen quite a recovery in the rhodium price during recent months. And part of that is with the reintroduction or increasing of rhodium being the glass makers bushings, when rhodium was at all-time high, some of the glass makers were eliminating or reducing rhodium content. But to -- considering durability of the bushings and manufacturing process, they are reintroducing rhodium to a larger extent. From a supply perspective, I have mentioned that there has been recently some relief for PGM producers. But I think what is important to consider is that the short-term relief we've seen in the price so far is not enough to overturn the impact of the significant decline in capital investment and production cuts that have been instituted and evolved over the past decade. So certainly, South African PGM supply on the long term in terms of platinum, rhodium and then also ruthenium is expected to tighten. Outside of South Africa, obviously, the North American palladium supply, is still under pressure with palladium relative low prices and low margins. And there's been quite a bit of restructuring and production cuts at many of the North American operations. So what does that mean for our outlook on PGMs overall? I think we know that platinum, palladium, and rhodium are in deficit for '25. Platinum, palladium still in '26. There's a small swing of rhodium in '26 and '27, but with rhodium having so much lower volumes and a small change in the market can easily swing it from a surplus to a deficit, and I think that's why the rhodium prices is always volatile, and we still maintain a robust outlook on the rhodium as well. From a chrome perspective, I'm not going to talk in too much detail about it, just that we know the bulk of the consumption for ferrochrome is in the stainless-steel industry, and we know the stainless-steel industry is consistently growing at 4% to 6% per annum. And while we acknowledge that the global economic growth rates and also some of the tariff threats and uncertainty from the U.S. to impact short-term consumer trends and industrial development, the long-term demand is robust. And from a supply point of view, so Africa is the largest chrome ore producer in the world. And obviously, with a number of chrome operations and the growing PGM demand, we believe that there will be a tight balance in terms of supply demand going forward. So we maintain a favorable outlook in terms of chrome prices going forward. So overall, we are quite positive for both the PGM and the chrome markets. Before closing, I'm going to just add back or transfer back to Lewanne to just talk us through a brief overview of our ESG performance, and then I'll close the presentation.
Lewanne Carminati: Just, yes, as Jaco said briefly on the ESG, I think over the years, we've demonstrated that sustainability is more than just regulatory compliance for Sylvania, and we're quite proud of the ongoing progress that we've made in all aspects of ESG. On the environmental side, excuse me, management of the tailings dams under our control is critical to our business, and we ensure compliance with the South African regulatory requirements and align the management of these with GISTM through ongoing monitoring and annual audits. We also understand the water stewardship is very important given the increasing scarcity of this resource. We're continuously improving our measurement accuracy at the operations, enabling more reliable tracking of flows and losses. And we're also now able to monitor the use of recycled water more efficiently, reducing the need for fresh top-up water. Our revegetation program is progressing well, and we are planning the first full-scale rehabilitation of a tailings dam in the new financial year. Under the social and governance banners, as Jaco mentioned, we are exceptionally proud of our safety records and achievements, especially the Doornbosch operation achieving 13 years LTI-free. The Board and management are committed to diversity and equity throughout the group, and we continue to train and develop our employees through various platforms. We've also made significant contributions to the South African economy where we operate, and this is through the payment of taxes, the use of local suppliers and remuneration payments to our employees. We'll obviously continue to build on these key sustainability focus areas, and we are publishing our annual ESG report in October. So please do look out for that.
Johannes Prinsloo: Thank you, Lewanne, for that as well. I think maybe just then -- what's next? What can we expect for '26 and beyond? I think just briefly, I've mentioned earlier, our primary focus at the moment is to ramp up the Thaba JV operation. And you can expect steady state production to be achieved at Thaba during the third quarter, and that's what we're aiming towards. We also expect the host mines new ROM commissioned plant Lesedi to continue ramping up and is likely to achieve steady state by December this year. And then we expect a continued strong performance from our existing SDO operations. And we believe that a lot of the positive momentum from this past record year is being carried through into the next financial year, and we have a positive outlook. And therefore, we have a production target of 83,000 to 86,000 ounces of 4E PGMs for the year, and also estimating 100,000 to 130,000 tons of chromite concentrate from Thaba to be added to our production for the year, and in which will ultimately '27 onwards, increased to around 200,000 tons as the state. We further expect the PGM metal price to be stronger than '25, and we -- our current forecast pricing equated to about $1,800 an ounce, $1,809 for '26, increasing up to about $1,890 in '27 compared to $1,500 per ounce of '25. But we also -- while you consider the current spot price is sitting at about $1,900 to $1,960, we do we think that is realistic. So the solid bars on the EBITDA represent those price outlooks, but we do, as always, illustrate what a 10% movement in either chrome or PGM price would have on the PGMs. So overall, a positive outlook for us on the year, both in terms of production and EBITDA. So I think in closing, I'm very happy with our performance for the past year, both from a production and a financial perspective. And I think we again illustrated that we are a very attractive company in terms of delivering on what we set out to do and promise to the market, delivering on our performance targets and consistently delivering strong value and returns for our shareholders. So thank you again for everybody's support and also, we're looking forward to the year ahead. I think maybe just finally, I want to mention and maybe as we are at the end of the presentation, I'll put my screen. I think Lewanne also put her camera back on. I think I want to take the opportunity [Technical Difficulty] as many of you have seen that we have announced that Lewanne after 16 years with the company, have decided to step down from her position as CFO and also a Director of the Board at the end of October to pursue some -- at the end of November, sorry, the 30th November to pursue some personal aspirations and objectives. And we thank to Lewanne for the valuable contribution over the 16 years with Sylvania and also for being an integral part of our senior management team and the executive. She's been integral part of the team for a long time and contributed significantly to the management team, to myself and my role and also to the Board. I'm also happy to announce that Ms. Ronel Bosman, our current Executive Officer, Finance who's been with the company since 2021 and been an integral part of our senior management team in Sylvania will be taking over the reins from Lewanne on the 1st of December. And I also welcome Ronel, and congratulate her for being selected for the role, and I expect a seamless transition in that regard. But I just thought it's worth taking Lewanne as well for the contributions today. So yes, with that, Jake, I'll maybe hand back to you.
Lewanne Carminati: Sorry may -- if I may. Thank you, Jaco. Thanks for the kind words. I just also wanted to thank you and the whole team from Sylvania for the past 16 years. It has been an incredible journey of growth, learning and teamwork. And I think it has been a genuine privilege to serve as CFO of Sylvania and as a director. And I'm extremely proud of everything that we've accomplished as a company and a team over the 16 years. I also wanted to just take this opportunity to thank all investors for the trust and support over the years and to reassure them that the company is in excellent hands as Ronel steps into the role in December. I'm really, really excited for what lies ahead for the company, and I'm quite confident that Sylvania will keep to -- keep building on its success and delivering value to its shareholders. Thank you.
Operator: Perfect guys. If I may just jump back in. Thank you very much indeed for your presentation this afternoon. [Operator Instructions] But just while the team take a few moments to review those questions that have been submitted already, I'd just like to remind you that a recording of this presentation along with a copy of the slides and the published Q&A can all be accessed via your investor dashboards. As you can see there, we have received a number of questions throughout your presentation this afternoon. Thank you to all of those on the call for taking the time to submit their questions. But Jaco, Lewanne, at this point, if I may just hand back to you just to read out those questions and give your responses where it's appropriate to do so. And if I pick up from you at the end, that would be great.
Johannes Prinsloo: Thank you, Jake. Yes. If I look at the questions, I think maybe the first one is about PGM markets and specifically in terms of the price of rhodium that have risen significantly during the year. And that's how I would just ask for the main reasons. I think I've mentioned the fact that the reintroduction and the increase of rhodium loadings in the glass maker industry has improved. So that's one of the aspects. What I probably did not touch on a lot was what we have seen on both -- well, on all 3 metals, platinum, palladium, and rhodium is that the current above surface stocks are also significantly lower, they're between a 5- and 7-year lows at the moment. And I think if people look at the supply-demand balance and considering that the surface stocks have been reducing, there has been some additional buying and then also price movement in rhodium. So that, I think, is in terms of rhodium. The second question also deals with rhodium and somebody have asked that given the change in the cycle of precious metal in recent months and the share buybacks from the company seems to have been to the benefit of shareholders, may I ask that during the sudden downturn in rhodium price over the last year as the company withheld some of the reserves to sell at a time like this to take advantage of the sudden cycle -- the up cycle? And if not, what was the reason behind not holding on to reserves during downturn? I understand that the cash reserves have been mostly maintained and used to the joint venture, but I would hope that this action was also done with the reserves of the precious metals in the company's position during those periods. Might also ask what the time frame is for holding reserves and what percentage permitted by the company if there is a legal requirement to do so. Many thanks. So okay, I think maybe 2 things is due to the nature of the PGM product that we produce and our offtake with our smelters, we are not able to hold back reserves in the company. But I think it also comes to a question that somebody -- some investors asked us before about does the company hedge any of our products. We don't have a policy of hedging any products, and we don't have intentional policy of holding back any reserves or stock. So yes, unfortunately, that we don't do that in terms of the metals. I don't think there's necessarily legislation that prevents you from doing it that the practicalities of handling and being able to store stock and also the security aspects around that means that it is not something that is commonly done in the industry. If I move to the next question, it's something just asked what the current 4E basket price is for August. August was -- between August and now, we ranged between $1,900 and $1,960 per ounce 4E. So it is higher -- significantly higher than what we closed the past financial year on. And it is also higher than what the consensus forecast that we use for our forward-looking EBITDA statements. Another question to ask if the Board will consider a new buyback program. Lewanne, maybe you can just touch briefly on the capital allocation policy and also how we discuss the buybacks.
Lewanne Carminati: Yes. So we've recently formalized our capital allocation framework. And we, as I said in the -- during the presentation, we prioritized maintaining a sustainable business, long-term growth and then returns to shareholders. This is mainly through dividends, and there is no formal policy around buybacks. But the Board does review this at every Board meeting and does implement share buybacks on an opportunistic basis when the share price moves through certain thresholds and there is surplus cash. So it's certainly -- the Board will consider further buybacks, but it will be very dependent on other cash requirements as well as what the market is doing at the time.
Johannes Prinsloo: Thank you, Lewanne. Then somebody also asked and say, thanks. They start -- the question is impressive. Thank you very much for that. And then also ask what is the platinum price that we're using in the revenue forecast. So we have touched in the back of the presentation in the appendix, our metal price assumptions. But just to guide you, the platinum price forecast $1,319 is consensus forecast for '26. That forms part of the total price, and as I said, $1,809 is fully basket price, but we do have a breakdown per year and per element of the metal prices used in our EBITDA and revenue forecast in the presentation. So that is there. And then -- another question about further buybacks, but I believe Lewanne have answered that one. And I think the last question that I can see on the screen here is just saying with the current metal prices, could we see a significant increase in the earnings per share in 2026. And I think we have illustrated with the amounts of shares and issue and the EBITDA rising. Yes, there would be an improvement in earnings per share, and we do include that in the outlook slide. There's one last question that's just come in. As I've been talking to say if platinum spikes to USD 2,500, would your company please consider locking in some production revenue via hedging? Thank you. And I think it ties back to maybe the previous question where we had to say we just, there's not a formal hedging policy in place. But certainly, as I said, I think if we get to those prices, there should hopefully be very attractive returns to our shareholders. Jake, I think that is handling all the questions -- sorry. Just as I said, I'll handle there's another one that's just come in to say how familiar are the analysts following the stock with the chromite impact on the company in the coming 2 to 3 years. Look, I think the -- quite a few of the analysts that are covering us and looking at our business model are also familiar, for instance, with a model of Tharisa Minerals, that is chrome and PGMs and also listed on the LSE here in London. So I do think that there is some good experience and understanding of how the chrome and PGMs impact the revenue streams. And yes, I think that is the bulk of the questions that we have. So Jake, let me hand back to you.
Operator: Perfect guys. That's great. And thank you very much indeed for being so advanced of your time and addressing all of those questions that came in from investors this afternoon. And of course, if there are any further questions that do come through, we'll make these available to you immediately after the presentation has ended. But Jaco, perhaps before really now just looking to redirect those on the call to provide you their feedback, which I know is particularly important to yourself and the company. If I could please just ask you for a few closing comments, just to wrap up with, that would be great.
Johannes Prinsloo: Thank you, Jake. Look, as I mentioned earlier, I'm very thankful to the contribution of our management, all our employees and our staff. We made this past year contributed towards a very successful year that was just completed. And as I said, I hope we can demonstrate to our shareholders that we remain an attractive company to invest in, to support and that we can continue to generate very attractive cash from our operations, both the existing as well as the Thaba JV that will be ramping up in the new year. So there's, I think, a couple of very exciting things to look out for the company. And we certainly remain committed despite having still some significant capital allocation to our tailings dams and growth projects as we've communicated. We still remain very committed to maintain very good returns to our shareholders for a balance of dividends and share buybacks. So I hope whether we can continue to do that for well into the future. So thank you very much for your time. Thank you for your support, and I'll leave it at that.
Operator: Yes. Okay. That's great. Thank you once again for updating investors this afternoon. Could I please ask investors not to close this session as you'll now be automatically redirected for the opportunity to provide your feedback in order the management team can better understand your views and expectations. This will only take a few moments to complete, but I'm sure it will be greatly valued by the company. On behalf of management team of Sylvania Platinum Limited, we would like to thank you for attending today's presentation. That now concludes today's session. So good afternoon to you all.